Operator: Good morning, ladies and gentlemen, and welcome to the Stingray Group Inc. Q2 2025 Results Conference Call. [Operator Instructions] Also note that this call is being recorded on November 6, 2024. And I would like to turn the conference over to Mathieu Peloquin.
Mathieu Peloquin: Thank you very much. Good morning, everyone, and thank you for joining us for Stingray's conference call for its second quarter ended September 30, 2024. Today, Eric Boyko, President, CEO and Co-Founder; as well as Jean-Pierre Trahan, Chief Financial Officer, will be presenting Stingray's operational and financial highlights. Our press release reporting Stingray's second quarter results for fiscal 2025 was issued yesterday after the market closed. Our press release, MD&A and financial statements for the quarter are available on our investor website at stingray.com and on SEDAR+. I will now provide you with the customary caution that today's discussion of the corporation's performance and its future prospects may include forward-looking statements. The corporation's future operation and performance are subject to risks and uncertainties, and actual results may differ materially. These risks and uncertainties include, but are not limited to, the risk factors identified in Stingray's annual information form dated June 4, 2024, which is available on SEDAR+. The corporation specifically disclaims any intention or obligation to update these forward-looking statements, whether as a result of new information, future events or otherwise, except as may be required by applicable law. Accordingly, you're advised not to place undue reliance on such forward-looking statements. And please be reminded that some of the financial measures discussed over the course of this conference call are non-IFRS. Refer to Stingray's MD&A for a complete definition and reconciliation of such measures to IFRS financial measures. Finally, let me remind you that all amounts on this call are expressed in Canadian dollars unless otherwise indicated. With that, let me turn the call over to Eric.
Eric Boyko: Good morning, everyone, and welcome to our second quarter results conference call. We are pleased to report that the revenues for our Broadcasting and Commercial Music business increased 22.2% to $60.9 million in the second quarter of '25, while the EBITDA for that segment increased 25% to $25 million. Aside from those positive data points, we achieved organic growth, excluding radio of 15.6% in the second quarter, making 4 consecutive reporting periods in a row in which Stingray has generated robust double-digit revenue increase year-over-year. This string of strong organic results in turn has brought an enhanced degree of predictability to our profitability, including maintaining a consolidated adjusted EBITDA margin of over 40% and the Broadcast and Commercial segment. The annual EBITDA run rate basis for that division now stands at $100 million. Stingray's FAST channels and Retail Media segments continue to drive growth in the second quarter of fiscal '25, raising advertising revenues by 66% year-over-year. A pilot project with Vizio on the FAST channel side, combined with increased penetration with other TV manufacturers largely contributed to the significant revenue growth. We also benefit from higher digital equipment installation revenues on new accounts across our North American in-store advertising platform and through our digital signage banking network of locations to boost revenues. On the retail media front, key customer wins at Sobeys, Shoppers Drug Mart and Malu within our Canadian network should deliver meaningful revenue contribution in the second half of the fiscal year and beyond. Today, our retail ad network truly covers all of Canada, allowing brands to maximize their national reach at point of sale. Moving on to in-car entertainment business. We recently launched Karaoke in Ford Motor Company vehicles, beginning with all-electric F-150 Lightning, Mustang, Maxi, while further developments are expected across the Ford and Lincoln fleet. We also secured similar agreement with NIO for its smart electric vehicle across European countries and expanded our footprint at BYD with an updated version of our karaoke app. In addition, we created a whole new revenue stream within the in-car entertainment space through a partnership with Xperi TV by introducing 8 new channels on video screens for backseats passengers on the BMW Group vehicle. Key channels within the package include Stingray Naturescape, Holidayscape, Zen Life, Qello Concerts, Stingray Classica, Stingray CMusic and B-Jazz as well as the Ultimate Trivia. This premium offering will be extended to our luxury car manufacturers in upcoming quarters as we position Stingray as the supplier of choice in this market. Consequently, the future looks bright for Stingray as most, if not all, metrics on the management dashboard are pointing upwards. We fully intend to sustain this growth momentum based on an array of highly differentiated music, digital and advertising solutions that we provide to the global markets. I will now turn the call over to our friend, Jean-Pierre, for our financial review.
Jean-Pierre Trahan: Eric, good morning, everyone. Revenues reached $93.6 million in the second quarter of '25, up 13.4% from $82.5 million in Ã¢â¬â¢24. The year-over-year growth was mainly due to an increase in FAST channel sales as well as higher equipment and installation sales related to digital signage. Revenues in Canada rose 1.1% to $48.9 million in the second quarter of '25. Growth reflects enhanced equipment and installation sales related to digital signage, partially offset by the decrease in audio channel revenues. Revenues in the United States grew 52.5% to $32.9 million in Q2 '25 on the strength of higher FAST channel revenues along with enhanced equipment and installation sales. Finally, revenues in other countries decreased 5.9% year-over-year to $11.8 million in the most recent quarter. The decline was mainly due to reduced business-to-customer subscriptions and less audio channel revenues. Looking at our results by business segment, Broadcasting and Commercial Music revenues increased 22.2% to $60.9 million in the second quarter of '25. The year-over-year growth was primarily driven by higher FAST channel revenues and greater equipment and installation sales related to digital signage. Radio revenues, meanwhile, remained stable year-over-year at $32.7 million in the second quarter '25 as higher digital advertising sales were offset by slightly lower national airtime revenues. In terms of profitability, consolidated adjusted EBITDA improved 15.2% to $34 million in the second quarter of '25 from $29.5 million in '24. Adjusted EBITDA margin reached 36.3% in '25 compared to 35.8% in '24. The year-over-year growth in adjusted EBITDA and adjusted EBITDA margin can mainly be attributed to higher revenues. By business segment, Broadcasting and Commercial Music adjusted EBITDA increased 25.4% to $25 million in the second quarter of '25. This growth was largely driven by higher revenues. For its part, adjusted EBITDA for our Radio segment remained flat year-over-year at $11 million. In terms of corporate adjusted EBITDA, it amounted to a negative $2 million in the second quarter due to higher compensation paid compared to '24. Stingray reported a net income of $5.8 million or $0.08 per share in the second quarter of '25 compared to $9.4 million or $0.14 per share in '24. The decrease was mainly caused by an unrealized loss in the fair value of derivative financial instruments and to a negative foreign exchange impact, partially offset by higher operating results. Adjusted net income totaled $16.7 million or $0.24 per share in '25 compared to $14.6 million or $0.21 per share in '24. The increase can be attributed to better operating results and in the most recent quarter, partially offset by a foreign exchange loss. Turning to liquidity and capital resources. Cash flow generated from operating activities totaled $19.2 million in '25 compared to $19.1 million in '24. The year-over-year improvement was mainly due to a better operating results, largely offset by a foreign exchange loss and higher negative change in noncash operating items. Adjusted free cash flow amounted to $21.1 million in Q2 '25 compared to $14.6 million in the same period of '24. The increase was mainly due to higher operating results. From a balance sheet standpoint, Stingray had a cash and cash equivalent of $8.6 million at the end of the second quarter, subordinate net debt at $25.6 million and a credit facilities of $350.5 million, of which approximately $68 million was available. Total net debt at the quarter end stood at $367.5 million or 2.72x pro forma adjusted EBITDA. As a result, we remain comfortable with achieving a leverage ratio between 2 and 2.5x by the end of fiscal '25. Finally, we repurchased and canceled 333,000 shares for $2.5 million in the second quarter under our normal course issuer bid and 640,000 shares for $4.8 million at the halfway mark of the fiscal year. Given Stingray current valuation, we believe it's a good use of cash to repurchase our shares to enhance shareholder value. This ends my presentation for today. I will now turn the call back to Eric.
Eric Boyko: JP, thank you. So yes, happy also that a lot of time, the analysts will ask us to show growth over multiple quarters. So, we were very pleased as management to be able to show to the market for strong double-digit growth in the last 4 quarters. So, this concludes our prepared remarks. I think Jean-Pierre and I will be pleased to answer any questions that you may have.
Operator: [Operator Instructions] And your first question will be from Adam Shine at National Bank Financial.
Adam Shine: Eric, can you share a little bit with us in terms of maybe quantifying those new contracts in retail media?
Eric Boyko: So, for us, one of the big issues we have and mostly because of the radio team sells ads in stores, and we call it from wheels to aisles. So, we'll do a campaign, we'll say, put 50,000 in radio and put 50,000 in retail media. The issue we have is our radio team is very much focused on the Maritimes because of our radio and out West. So, for us, getting more Canadian-based retailers was important. So, Sobeys is perfect fit. They're from the Maritimes. So, Sobeys and also getting, for sure, Shoppers Drug Mart. We're adding both of them is 1,200 to 1,400 locations across the country. So, for the first time, we can say we have a strong Canadian presence, which also gives us access to all national brands.
Adam Shine: But is this something -- I mean, can you share at all? Is this like in the aggregate, potentially $5 million of additional revenues, give or take, or maybe...
Eric Boyko: We see a growth that we're doing both in retail and fast. It's just going to give us more push in Canada. For sure, for us, our biggest part of the market is the U.S. But officially now we can say that we have a national network across Canada. Nobody can say we don't have a national presence. So, it was an important milestone for us.
Adam Shine: And then you talked in the press release about maintaining an EBITDA margin of 35%. But obviously, you're tracking above that level so far in H1. And are you really characterizing 35% from the perspective of at least 35%. It's not as though you're pointing to some margin compression in the second half of the year, correct?
Eric Boyko: Exactly. And again, this quarter, broadcast and commercial did 41% and radio did 30.8%. So together, we did the 33%. So, we did 36.3%. But broadcasting, we had a lot in commercial, we had a lot of E&L. If the E&L would have been standard, our margin would have been even a point higher. So, we would have been at 37%. So, we're very comfortable with our EBITDA margins, both in broadcasting and commercial and overall increasing.
Adam Shine: And just one final one very quickly. Just in the context, we're seeing a lot of movement by the CRTC to try and figure out, a, what Google $100 million windfall can flow into the new system here in Canada. Additionally, there's this local radio news potential relief. Do you get a sense that you're lined up to get something material from some of these efforts?
Eric Boyko: No. We might get a bit of money, but it's not material. Usually, it's one-offs. But for now, we're not seeing anything on our side that makes a big difference. We're happy to see that there's going to be an audio review next year. So, audio review, including radio. So that gives us -- for us, the big win would be to go to 4 radios per city. But at least, that's back in the discussion. So, I think there's no -- I think the market and the CRTC, the government sees that a lot of people are shutting down their radio stations. They have to be more proactive. Hopefully, the government and the CRTC gets the news.
Operator: Next question will be from Aravinda Galappatthige at Canaccord Genuity.
Aravinda Galappatthige: Congrats on the quarter. I wanted to start in the in-car category. Obviously, you continue to show business development on the karaoke-led offering. But I was wondering, Eric, maybe you can talk a little bit about the broader positioning you hope to achieve in the in-car entertainment segment, particularly on the back of the partnership with TiVo and for BMW. Any thoughts on the longer-term view here and maybe traction in that direction?
Eric Boyko: No, I think it's a key question. So, I think the cars are realizing just like TV manufacturers that the days of giving away their media center to SiriusXM or to even AMFM for free even as a cost center because it costs them money to install are over. They want to control the media center. They want to be able to sell a premium Wi-Fi package like Tesla does at $20. They want to be able to get advertising revenue, subscription revenue or even micro payments. So, they're looking at any type of way to make money from their media and not give it away. So, which is very smart. The good news is I don't think any company in the world is in a better position because right now, most cars companies don't do much video on the front. They need audio. So, what's audio? Audio is Stingray Music, audio is Cal Radio, audio is karaoke. So, we're positioned to be in every car in the world. And I think that we'll see, most car manufacturers will have karaoke in their cars I think at the -- against all payments wish because the kids will be sitting in the car. And even mic, we're going to see a lot of orders of microphones in a car. So, Karaoke music, one of our goal is to provide Stingray Music with ads, so we can both share money on the ads subscription-wise. So, I think it's exciting times. But the car business, we're talking '26, '27 up to -- for the next 12 years, it's a long cycle. But it's a very interesting discussion, and there'll be a lot of changes. I think it's going to be interesting times to see what happens to SiriusXM in cars, with cars wanting to control their space. And also, for us, if we can bring our FAST channel for the back seats, which we did with these cars is good. The more we get distribution on the FAST channels on different platforms, the more that we can monetize with ads.
Aravinda Galappatthige: And then maybe just quickly switching gears to radio. You continue to be quite stable there, well ahead of the competition or the sort of your peers, it seems. Maybe just talk about some of the dynamics there. Is it a case of maybe some of the auto segment coming back? Is it market share gains? Maybe just talk to where you're seeing that -- where you're driving that stability.
Eric Boyko: Our radio station, we are outperforming our peers by -- our peers are down 10% to 15%. We're stable almost, we still feel that we can be positive in the 2% range. The 3 things that we do very well and with the team, we're investing a lot in the local sales team. We have the best local sales team. In most cities, we outperform our viewership in sales. So, let's say, we own 40% of the viewership in Halifax, but we'll get 60% of the advertising revenue. So, for sure, we're winning. Second thing, we're very strong on the digital front to offer customers a digital product. And third, like I was mentioning to our friend before, we're having our sales rep sell the audio in our stores, in the retail network in Sobeys, in Metro. So that gives our reps in any city, a unique selling proposition that nobody else can offer. So, I think that slowly putting that together, radio can become and will become a positive organic sales business.
Operator: Next question will be from Scott Fletcher at CIBC.
Scott Fletcher: Really strong growth in the advertising businesses again. Hoping you might be able to provide a little bit of a breakdown between the contribution from FAST and retail media like you have in the past.
Eric Boyko: Yes, that's something that's getting bigger and bigger. And I agree with you, it is a bit confusing. The FAST channels, because we get the revenues on a net basis, have a high EBITDA margin because you're taking it from net. And by nature, retail media, we share a good percentage with the retailer. So that one is on -- so one is on net and the other one is on gross. So, it's something that we're looking to on GP in the future. The numbers were small before to divide. But in the future, we'll have to divide both because one is running at 80% EBITDA margin and the other one is at 40% EBITDA margin. But at this point, we did well in the first -- so far this year in the first half. I think we're up 80% incredible. We usually tell the market we want to be up 40%. So, I don't think the 80% is sustainable for the rest of the year. Last year, we had a very strong retail media sales in the states with all the vaccines in Q3. But again, for the year, we're comfortable to keep on growing above 40% for the year. Q3 might be a bit slower because last year was just an incredible quarter. I think we were up 70%. But again, the trends are good. And the FAST channels by itself, we can talk more, but the FAST channels, we can -- Samsung reported they now have 88 million active listeners in the U.S. They're growing by 50%. Now we're having dinner with Roku, Pluto, LG, Samsung, Vizio, and everybody is saying the lake -- we're in a business that the lake is growing. Everybody is making more money. What's happening is we're getting the audience from the traditional cable side, and there was USD 70 billion of ads in the U.S. on the [ Gordon ], NBC, ABC and those channels. And now all of that money is going. It's not new money. It's money that's going to the FAST channels. And if you see on our launches, Stingray is launching with a lot of new partners in many new countries, we're going to monetize better. We're getting better at it. And we're also launching a lot of new products. So, you'll see in the next press release. So, it means more product, more launches, more platforms and each of the platforms are doing better. So, we see growth in the FAST channel, and I said that to the Board for the next 8 to 16 quarters. So, this phenomenon is not going to go away.
Scott Fletcher: Lots of good stuff in there. Is there any update you could share on the run rate of the viewing hours? I think last quarter, you said there were sort of -- you exited at 55 million hoursÃ¢â¬Â¦
Eric Boyko: Yes, I think we had, again, a very good growth coming about 59 million, 60 million. And we keep those numbers growing with more launches of products, like I said, and better monetization. And year-over-year, the number is huge. I think we can share that with you on a one-on-one or with the investor deck.
Operator: Next question will be from Jerome Dubreuil at Desjardins.
Jerome Dubreuil: Another one on FAST, good growth there, it seems. I guess the question from a longer-term perspective is how sustainable is this business overall? You just shared numbers on the hours of listenership, which shows good growth. But maybe if you can talk about your ranking versus other content, whether there are emerging players in this market and any question like this.
Eric Boyko: It's interesting, Jerome. Stingray is probably right now the #1 broadcaster on all FAST platform. If you take on Samsung, we have over 20 different channels, including the audio channels. And I think we're going to be adding 6 to 8 more channels before the holidays. We're launching more channels on Roku. We're launching more channels on LG, launching more channels on Pluto. We'll be launching 3 more new channels on Vizio before the end of the month. So, it's tough. We don't get the information. I don't forget, they're the ones selling. They have the stats. They don't share with us the stats. We created a group of broadcasters to try to share information, but we don't have all the exact data. But for you, as an analyst, as long as we can keep on adding channels, platform growing, adding new platforms and adding new products. There's a direct correlation with number of hours and then they're able to sell better. Some of our partners, their fill rate is at 95%. So, we're always impressed, but some of our partners are doing extremely well and are getting to be very effective at the waterfall. But the issue is we're B2B, it's not a B2C product. And for sure, you can imagine Samsung will not share us who their customers are. So, there'll be a bit of work there. Does that answer the question, Jerome, or a bit far.
Jerome Dubreuil: It does. That's helpful. Second one for me. We're getting close to the higher end of your leverage range objective. Does this mean you're starting to maybe change the way you think about capital allocation or we keep going at this point?
Eric Boyko: No. I think Q3, Q4, very focused discussions with the board. We want not only to bring down our debt-to-EBITDA ratio, but we want also to deleverage our balance sheet. So, we want the debt loan to come down nominally, and we'll see. We grew so fast this quarter. We have a lot of receivables coming. The FAST channel partners do pay us in 120 to 180 days. So, it's great. We'll get paid, but we got to get into that cycle. Once that cycle comes in, then we'll see that cash flow. So that's why we feel very good in Q3 and Q4. And I think we're going to be well below 2.5, close to 2. Once we get to 2, then we'll sit down on an analyst call when we speak one-on-one and establish what is the best strategy. We are looking at some acquisitions. The market is becoming more flexible. So, I must say before the market was a bit highly evaluated. One of our issues we have, Jerome, is our stock price increases, but our EBITDA increases faster than our stock price. So, our EBITDA to EV ratio keeps getting lower. So that, hopefully, one day, you guys can work that out. But no, I think we're very confident about our debt and to be close to 2x debt EBITDA. And from there, we'll adjust.
Operator: [Operator Instructions] Next is Tim Casey at BMO.
Tim Casey: Could you talk a little bit about in-store audio in the U.S., how that business is going? In the past, you've talked about how you really have to educate the market on that. And you didn't call it out as a growth driver on the advertising line. It seems like it's all FAST. So maybe just some color on what's happening with that business.
Operator: [Audio Gap] Can you please unmute your line, we are unable to hear you at this time. One moment please, standby. We can hear you now, sir.
Eric Boyko: Are you back, Tim?
Tim Casey: I'm here.
Eric Boyko: It's not about -- Tim, I was speaking to you, and we didn't -- nobody touched anything. So maybe it's just amazing results that even the machine is too happy. So, Tim, for the U.S. revenue, I agree, we're not seeing the same increase in sales right now because we grew a lot in the last 2 years. And also, it takes time to evangelize the market. It's really a lot of work to get the P&Gs to get on board. So hopefully, with time, we'll be able to -- because we do have the network in the U.S. and we have -- our inventory in the U.S. is in the hundreds of millions of dollars. So, we have a lot of sales that we could increase. And we're also looking at new partners like we're doing in Canada. I think you're going to see announcing new partners that will help us help sales like other radio stations in the U.S. that with their sales rep selling in retail stores. So, you can imagine the 2 big broadcasters in the U.S. that we're looking to talk to and work with them.
Operator: Thank you. And at this time, we have no other questions registered. Please proceed.
Eric Boyko: All right. Sorry again for the phone line. On behalf of the entire Stingray team, thank you for joining us today on this conference call. We know that the analysts are always busy. We know everybody is busy. Everybody reports in the same 2 weeks. So, we look forward to speaking to you again following the release of our third quarter results in the cold month of February. So, have a nice day.
Operator: Thank you. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we ask that you please disconnect your lines. Have a good day.